Operator: Greetings and welcome to the Chatham Lodging Trust, Fourth Quarter 2021 financial results conference call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. If anyone should require operator assistance during the conference, [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the call over to Chris Daly, President of Daly Gray Public Relations. Thank you. You may begin.
Chris Daly: Thank you, Darryl. Good morning, everyone. Welcome to the Chatham Lodging Trust, Fourth Quarter 2021 Results Conference Call. Please note that many of our comments today are considered forward-looking statements as defined by federal securities laws. These statements are subject to risks and uncertainties, both known and unknown, as described in our most recent Form 10-K and other SEC filings. All information in this call is as of February 24th, 2022, unless otherwise noted. And the company undertakes no obligation to update any forward-looking statements to conform the statement to actual results or changes in the company's expectations. You can find copies of our SEC filings and earnings release which contain reconciliations to non-GAAP financial measures referenced on this call on our website at chathamlodgingtrust.com. Now, to provide you some insight into Chatham 's 2021 fourth-quarter results, allow me to introduce Jeff Fisher, Chairman, President & Chief Executive Officer, Dennis Craven, Executive Vice President & Chief Operating Officer, and Jeremy Wegner, Senior Vice President & Chief Financial Officer. Let me turn the session over to Jeff Fisher. Jeff?
Jeff Fisher: Thanks, Chris. Appreciate that. And I appreciate everyone who's joining us this morning for our call. It certainly was an interesting end of the year in January, as we all know, the fourth quarter started off strong with October producing the second-best month since the start of the pandemic. As the quarter progressed we were hit with the onset of the Omicron variant exacerbating the impact on December, January, and early February, already seasonally slower months. Now as we sit here today, we've seen a dramatic rebound in travel. We've seen business travel pickup since earlier this month and this past weekend produced our best results of 2022. Through February 21st, REVPAR has jumped significantly from January REVPAR of $67 up $20 to $87, a whopping 30% gain. Gains have been sequential each week, with RevPAR of $75 for the week ended February 7th, $89 for the week ended February 14th, and $96 for the week ended February 21st. RevPAR was over $120 this past weekend and occupancy hit 77%, with 20 of our hotels achieving occupancy of over 90% on Saturday night during the holiday weekend. Weekday travel also continues to rise this month and year-to-date, signifying the return of the non-leisure traveller. We've been seeing improving occupancy during the week with weekday occupancies bottoming out at 46% during the week ending January 8. And we've seen growing midweek occupancies each week of February, currently at 60% midweek for this past week. We've been encouraged by the return of some tech-related group business in Silicon Valley and Bellevue, Washington, as well as smaller convention-related business in San Diego and Downtown Dallas. Like we saw with the explosion of leisure travel on 2021, we believe that business travel is going to come strongly back this year. A clear signal has developed in Silicon Valley and Bellevue, Washington, as tech companies have announced the return, finally, of workers to their offices, which will bring along with that incremental business travel to the area, training and product launches. Tech companies have been a bellwether for the timing of our return to office for many other companies across the country, as we know, so this should kick start business travel. Additionally and meaningfully, we believe that tech companies are going to be hosting in-person internships this summer, which accounted for over $7 million in revenue in the summer of 2019 for us, and should be a major boost to our five hotels in these two markets. As a reminder, our 2019 hotel EBITDA at these five hotels was approximately $35 million and those same hotels produced a mere $5.5 million of hotel EBITDA in 2020 and only $7 million of hotel EBITDA in 2021. So it's those hotels that have really kept our numbers down as the recoveries progressed, but we are seeing a definite different result for 2022 we believe. Chatham is emerging from the pandemic with an even stronger balance sheet, more buying capacity and an even higher quality portfolio. We minimized cash burn throughout the pandemic by generating impressive operating results. And we were the second fastest hotel REIT to become corporate cash flow positive. In 2021, we generated positive cash flow before CapEx of $12 million and excluding principal amortization, cash flow was $20 million. Now this is something that I'm extremely proud of that since April 2020, essentially the start of the pandemic for our portfolio, cumulative cash flow/burn before capital expenditures and before principal amortization was zero. Since the start of the pandemic, we have not used any equity dollars to fund our corporate operations. I think a pretty remarkable achievement. As we look forward here again, beyond the projected RevPAR results and business that we see coming back for this year, we're being pretty active on the asset and capital recycling front. We have and are working on a variety of things, including a sale of three or four of our hotels. We don't have anything specific to announce as of this minute, but I do think that we're far enough along to generally talk about those as well as our acquisition pipeline, which I had said before, we thought this year would be more active. It's turning out I think to be more active. We've got one or two particular hotels that were winding down in terms of, I think, the ability to put them under contract, and I look forward to doing that. Again, I think similar to the acquisitions we made in the Domain at Austin last year and in terms of opening our Warner Center Hotel, really exciting new earnings to be generated this year. And again, increasing the quality of our assets, our RevPAR on an absolute basis. And I think a little more diversity as well in terms of location and market. So I'm really looking forward to this year from that perspective also. Let me talk a little bit more about Warner Center, the Home2 Suites is opened. I spent about four or five days out there during the opening week. It has really opened to great reviews, both for me talking to customers walking in the door as well as some of the corporate accounts that have already tried us out. The rooms are really far and away the best in the market, the amenities at the hotel are incredible. A huge fitness room, great indoor pool area, and a very large indoor, outdoor bar, which for the LA weather, should really, and is already proven to be quite an attraction for the local folks, and the many, many new apartment buildings that are being built all around our hotel within one block. So hotel occupancy there has already been over 50% on a few nights. And we basically haven't even been open a month there. ADR last week was at a $186, a very strong result, and $10 above the comp set, and that's in an opening stage of the hotel. Shifting back to the fourth quarter. Let me highlight a few things before Dennis gets into all the details. Compared to 2019, our monthly RevPAR improved each month of the fourth quarter down 26%, 24%, and 16% respectively, before slipping back to down 36% in January. And obviously the result of Omicron through February 21, RevPAR of $87 is down 27% compared to the first three weeks of 2019, our margins remained strong and particularly impressive compared to 2019 levels, when you consider absolute RevPAR levels. Our fourth quarter gross operating profit margins were a strong 41% on RevPAR of $92, only down a 100 basis points to 2019 when REVPAR was $26 higher at a $118, December was particularly impressive with margins 330 basis points higher than 2019. Even though RevPAR was $17 lower, it's too early to tell what the margin growth will be at this point, but no REIT is better than us at regularly delivering these kinds of results and we fully expect that same-store margins will be higher post-pandemic. Not operations related, but equally important in early 2021, we launched our corporate responsibility section of our website. I encourage you to take a look at that, which included our inaugural corporate responsibility report and formalized our efforts relating to ESG. Just last month we published the supplement to our report, that included more disclosures in compliance with TCFD, SASB, and GRI. It's also included our first disclosure of waste data and disclosed my commitment to the pledge for the CEO action, for a diversity and inclusion. Chatham is fully committed to sustainability, social matters, and proper corporate governance. We have recently formed an ESG committee, comprised of members of management and our Board of Trustees, and we fully intend to participate in GRESB and its real estate assessment in 2022. Let me just mention dividends for a second here, because recently, Host and Apple have announced a dividend that is something other than a nominal dividend. We've minimized equity delusion, as I said, more than most of our peers over the past two years. And we're confident in the ultimate recovery and the trajectory of that recovery in our portfolio. Before reinstating a dividend, though, I think I'd like to see continued improvement specifically in our business travel in Silicon Valley and Bellevue. Because as you know, that is a very significant piece of our overall EBITDA. And we will look forward to that recovery as the year progresses. We've historically targeted paying out 100% of taxable income. So when we look at any potential dividend, we'll carefully analyze our taxable income for the upcoming years while also, of course, considering use of tax deductible net operating loss carry-forwards that came as a result of the pandemic. And we'll look and review at our dividends on a quarterly basis with our board. Let me close by saying and reminding everyone that our relative strong performance to date and expected performance moving forward is going to be significantly enhanced in 2022 and 2023 by three key factors. 1. tremendous upside as I mentioned, in our tech-driven markets; 2. meaningful, incremental, new cash flow from our Austin acquisitions, and the opening of our new Home2 Suites at Woodland Hills together; 3. With recycling capital from the sales of lower tier hotels into higher returning acquisitions. So with that, I'd like to turn it over to Dennis.
Dennis Craven: Thanks, Jeff. With the onset of the Omicron variant and normal seasonality, all our key markets accept Dallas saw RevPAR, decline from -- sequentially from the third to the fourth quarter. Not surprising as there is generally a 30% to 40% drop-off in RevPAR between October and December anyways. Dallas benefited from the return of some smaller convention in conference related events. Silicon Valley, our largest market, which comprised almost 25% of our EBITDA in 2019 remains the laggard with RevPAR of $74 in the quarter. Occupancy was 61%, which is up 40% over 2020, and ADR was a $121 up 15%, indicative of market with limited demand growth. As Jeff spoke, things are starting to look up this month and those four hotels are going to provide substantial growth for us in 2022. As a reminder, it was about 25% of our hotel EBITDA in 2019. In 2021, those four hotels comprised only 9% of our hotel EBITDA this past year. Our coastal north-eastern hotels and our suburban New York hotels, continue to produce solid results in spite of obviously seasonality in November and December with cooler weather. Our five highest hotels with absolute RevPAR in the quarter, were a resident in Fort Lauderdale on the inter-coastal waterway with RevPAR over $200 on occupancy of 84%, followed by our Residence Inns in White Plains in New Rochelle, New York, again, the suburban New York hotels. And then our residence in Anaheim and the Hilton Garden in Marina del Rey with Southern California showing some pretty strong performances, Jeff talked about even that our newly opened woodland hills Home2, is showing good quick ramp-up results. Our top six absolute occupancy hotels in the quarter were Residence Inn New Rochelle, New York, our residents in Lauderdale, our residents in white plains, followed by our Homewood Suites in Maitland. And the reason why I added a 6th hotel is we actually had two of our hotels in Silicon Valley at our San Mateo and Mountain View hotels, actually coming in our top six hotels in terms of total occupancy. So again, an encouraging sign of some business travel or non-leisure travel in those Silicon Valley markets. Our portfolio did significantly better than the industry with fourth quarter occupancy of 65% compared to industry wide occupancy of 58%. and our weekend occupancy was 71% during the quarter. As Jeff mentioned, the business dropped lowers returning before the Omicron variant hit the U.S. and yet again in February, we're now seeing the business traveller start to return. Weekday occupancy, which more correlates to the business traveller, reached 69% in October, higher than our overall third quarter weekday occupancy of 68%. So showing some growth. And then before easing to 63% in November, 57% in December, and further to 49% in January. Encouragingly, as we've seen, weekday occupancy increase, which is now stands at 56% in February, including just a bit over 60% this past week. Although our length of stay has clipped down a little bit in the quarter, we continue to see an average length of stay much longer than our historical levels. At our Residence Inn hotels, our average length of stay was three nights, still well above the 2.4 nights pre -pandemic. And then for our Homewood Suites hotels are average length of stay was 3.3 nights. Again, pretty meaningfully above our pre -pandemic average of 2.7 nights. For the quarter, total revenue of $57 million was almost double last year's revenue of $29 million. We were able to generate incremental GOP of $16.3 million for flow through of almost 60% on that incremental revenue. A great result given the ramp-up in operations to October, as was our second best month of the pandemic, and then quickly pivoting to a lower operating model caused by the onset of Omicron. We generated positive GOP in hotel EBITDA each month during 2021, at the corporate level, we generated adjusted EBITDA of $15.2 million versus essentially nothing last year. And we generated FFO per share of $0.12, which is up $0.30 over the same quarter last year when we had an FFO loss per share of $0.18 During the fourth quarter, 41 hotels generated positive hotel EBITDA, not GOP, again, positive hotel EBITDA. Our top five producers of GOP in the fourth quarter, were our Residence Inn, San Diego Gaslamp. Our Residence Inn Anaheim, which is the first time since the fourth quarter of 2021 for it to be in our top five, our Hyatt Place Pittsburgh, which is the first time it's made the list, which was sparked by really strong weekends around Steeler games, followed by the Steady Eddie Residence Inn in New Rochelle in White Plains, New York. As a point of reference, our newly acquired Residence Inn Austin, would have placed 10th on the list, and the recently acquired TownePlace Suites and often would have been in our top 20 of producers. On a per occupied room basis at our 40 comparable hotels, payroll and benefit costs were approximately $32, which is down from $33 in the 2020 fourth quarter, and 14% below fourth quarter 2019 per occupied room costs of $37. In the second quarter of this past year, we reinstituted complimentary breakfast. And most of our hotels where it's offered to guests, comp breakfast costs were $0.9 million in the quarter, which is up about $0.5 million over the same quarter last year, but down approximately $400 thousand compared to the 2019 fourth quarter. As we've talked about before, the brands proposed new standards that reduce some of the offerings and should lead to same-store savings. And so far, that seems to be the case on a per occupied room basis. Breakfast costs were $2.47 in the 2021 fourth quarter, which compares to $2.99 in the 2019 fourth quarter, a significant decrease of approximately 17%, on the Capex front we finished 2021 with Capex spending slightly over our budget of $6.5 million, and as we look ahead to 2022, our Capex budget is $23.5 million, which includes $17.5 million of renovation costs at five hotels. And then, we also have our remaining $6 million budgeted, which includes almost a $1 million dollars related to associate alert devices, and another $1 million dollars related to brand initiatives for signing and signage embedding. With the hopeful end of the pandemic, we are looking forward to seeing most of you in person this year, whether that be at a conference or in connection with direct investor meetings. Jeremy?
Jeremy Wegner: Thanks, Dennis. Good morning, everyone. Chatham's Q4 2021 RevPAR of $92 represents a 93% increase versus our Q4 2020 REVPAR of $48. And the 22.7% decline versus our Q4 2019 REVPAR of $119. The Q4 decline of 22.7% versus 2019 showed continued sequential improvement relative to Q2 2021, which is down 39% from 2019 and Q3, which was down 26% from 2019. While the positive trends reversed a little in January, with RevPAR of $67 was down 36% to 2019 and early February due to the Omicron variant, we expect performance to continue recovering with decreasing RevPAR declines relative to 2019 throughout the remainder of 2022. Through our significant efforts to contain costs, we were able to generate a Q4 GOP margin of 41.1%. The 41.1% margin achieved in Q4 at a RevPAR of $92 was only a 100 basis points lower than our Q4, 2019 GOP margin of 42.1%, which was achieved at a RevPAR of a $119. Our Q4 2021 hotel EBITDA was $17.6 million, adjusted EBITDA was $15.2 million, adjusted FFO was $0.12 per share, and cash flow before capital which represents hotel EBITDA less corporate G&A cash interest and $2.2 million of principal amortization was positive $5.1 million. I think it's worth noting that these solid results were achieved even with a somewhat limited amount of business travel in Q4. As Jeff mentioned, some of our largest and most profitable hotels before the start of the pandemic, like the four Residence Inn the Silicon Valley and the Residence Inn Bellevue are very dependent on business travel and have seen the least amount of recovery of all our hotels to date. When business travel starts to recover in a more meaningful way, our portfolio should experience significant upside from its current level. Based on feedback from our management companies, conversations with key corporate accounts and advanced bookings for Q2 '22 at some of our business transient focus properties, we are optimistic that business travel will start increasing in a meaningful way in 2022. We have taken a number of steps to strengthen Chatham 's balance sheet and non - dilutive ways during the pandemic and the balance sheet is now in the best shape it's ever been. Between March 31, 2020 and December 31st, 2021, we reduced our net debt balance by $250 million, which represents a 32% reduction, despite spending $40.9 million on our home to Warner Center development over this period and spending $71 million to acquire the Residence Inn and TownePlace Suites, Austin. At December 31st, we had $199 million of liquidity between our unrestricted cash balance of $19 million and $180 million of revolving credit facility availability. In Q4, we exercised an option to extend the maturity of our revolving credit facility to 2023 and obtained additional options to further extend the maturity of that facility to 2024. With our reasonable leverage, solid liquidity, and meaningful free cash flow, we are well-positioned to opportunistically pursue attractive investments. In addition to coming out of the pandemic with a better balance sheet than we had going in, we're also going to be exiting the pandemic with a better hotel portfolio than we had going in. The Q3 2021 acquisitions of the Residence Inn in TownePlace Suites Austin and recently opened Home2 at Warner Center will meaningfully enhance Chatham's growth and the quality of our portfolio by adding three newly constructed high RevPAR hotels in markets that have very strong demand growth. We continue enhancing the quality of our portfolio by acquiring new high-quality hotels in markets with strong growth, and recycling capital in cases where we believe sale prices are attractive relative to future growth prospects. We're very optimistic about the future, given the potential for significant improvements in operating performance as business travel begins to recover in a more meaningful way. The growth that we expect from the Austin acquisitions in Warner Center development, and our ability to pursue additional growth opportunities, given our strong balance sheet and significant liquidity. While we're not going to provide guidance at this time for those of you building your own projections. I want to remind you that during the construction of the Home2 Warner Center, we we've been capitalizing interest associated with the $70 million development and after it opened on January 24th, 2022, we'd began recognizing this interest expense. Factoring in the opening of the Home2 Warner Center, we expect interest expense, excluding amortization of financing costs, to be approximately $6.3 million in Q1 and $27 million for the full year. This concludes my portion of the call. Operator, please open the line for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. One moment, please, while we poll for your questions. Our first question comes from the line of Ari Klein with BMO Capital Markets, please proceed with your questions.
Ari Klein: Thank you. And good morning. The signs of recovery in Silicon Valley are pretty encouraging. Fair to say you think about the trajectory of the recovery there. Also to San Francisco, which is also lagged and certainly has some longer-term question marks. Can Silicon Valley and San Francisco run on independent tracks for the recovery?
Jeff Fisher: They really are higher, this is Jeff. I mean, we've always said it's really different demand generators. Obviously, a lot of convention business-related in San Francisco. Silicon Valley is very much dependent on its specific Facebook, Apple, those kind customers, Google obviously. And what they are doing relative to travel and having their office open or not open, which are all pretty much spitting distance from our hotels depending upon which one you're talking about there. So that's really the driver. I wouldn't draw any specific correlation, I guess, for whatever else you’re looking at.
Ari Klein: Got it. And then maybe turning to some of the asset acquisitions and dispositions you highlighted, any more specifics as far as the markets, maybe where you're looking to potentially sell and buy. And what kind of pricing looks like in those markets?
Jeremy Wegner: We're really trying to focus on looking at older hotels that really are on the bottom end of the absolute RevPAR as you look at the hotels that we own and also considering Capex needs in those hotels. So as we move forward we’re just trying to really maximize our cash flow here as the recovery continues. So combining, I think, all those factors, it's really somewhat less market-driven, I think I'm going to say. For example, you might see us sell an older hotel in Dallas, but we love Dallas. And we would buy something in the same day in Dallas, depending upon obviously, brand and price, et cetera. But so I think it's more oriented towards the age of the asset and where it really, really sits in the food chain here.
Ari Klein: And then just maybe on labor, are you where you want to be from an employee standpoint, the number employees you have. And what are you anticipating in 2022 from a wage growth standpoint?
Dennis Craven: Hey, Ari. This is Dennis. Yeah. I mean, as we sit here today, we're in good position from a labor perspective. Honestly, it's lower seasonal months anyway, so normally, we're trending down in terms of our absolute labor count at this point of the year anyway. And then we will start to ramp up to the summer. So I think we certainly saw that alleviate as we got into the fall last year, we were pretty happy even though our absolute employee count was still down 30% to 35%. And if you looked at our September and October levels, so we don't foresee any problems at the moment filling any major labor needs as we head to the more busier months coming up here as we get through the spring. And I think from a labor cost perspective, I think we’re -- we had a pretty big increase in 2021 on wage per hour and I think as we look kind of 2022 we have a mid single-digit increase for our average labor cost. So we still project that to be higher than what might been historical, but still kind of middle single-digit because we did absorb a lot of that last year.
Ari Klein: Got it. Thanks for all the color.
Dennis Craven: You're welcome.
Operator: Thank you. [Operator Instructions]. Our next questions come from the line of Tyler Batory with Janney, please proceed with your questions.
Jonathan Jenkins: Good morning. This is Jonathan on for Tyler. Thanks for taking our questions. First one for me, wanted to follow-up on the labor cost discussion. I was wondering if you could provide color on what drove those GOP margins in December. And I wanted to parse out a little bit in terms of the key drivers of the cost savings going forward. I mean, is that all driven by presumed labor savings or is there something else in there?
Jeff Fisher: Hey John, it's mostly labor savings. I mean, we'll have a few things here and there that might change one month to the next, but it's predominantly labor.
Jonathan Jenkins: Okay. Great. Thank you for that color. And then switching gears a little bit, how much of that lower rated early pandemic government responder, first respondent type business remains in the portfolio? And what's the possibility that as we look out in the later 2022, would that rerate into higher business?
Jeremy Wegner: Yeah. I mean, we really don't have a whole lot of first responder business. We still do have some traveling nurses, especially in a few markets that are more of our urban markets, whether that's suburban New York specifically for one of them. And we've seen some of that in Southern California as well. But I think - and a reason why we were able to pivot pretty quickly in the early days of the pandemic and throughout the pandemic was because of our predominantly extended stay rooms and select service rooms. We were able to get demand from the people who are traveling at the time. But also as the business traveller starts to recover for example, in Silicon Valley, we do have a hotel that has a good number of still traveling nurses that we would look to eventually shift out of that as we move towards later in the spring, especially for some of this intern business and Apple-related business and essentially reduced that room count down to pretty much nothing and transitioned to the higher rated customers. So we have nothing on the books from a long-term obligation committed perspective that would not allow us to make that shift, which I think is important.
Jonathan Jenkins: Okay. Great. I appreciate all the details there. And then last one for me, if I could. Jeff, I believe you mentioned in 2022 looking into different mixes and geographies for the acquisitions. And I'm curious as you look out longer-term, maybe 3, 4, 5 years. Is there any way you more broadly think about reshaping or retooling the portfolio, whether that's geographic exposure or more or less extended stay, any thoughts on that?
Jeff Fisher: We've said on a couple of different conference calls, we want to be about 80% extended stay. That's the primary driver and goal for us. But to be opportunistic in this kind of acquisition environment, our focus is to remain in the kind of markets that we already own in. But we want a diversified demand generator base and we do, over time, I think we end up with less of our EBITDA on a percentage basis in Silicon Valley only because we most likely will grow outside of Silicon Valley. Some of those markets are the obvious Sunbelt markets that it seems like everybody wants to be in but we've always been just attracted by demand generator growth and where that's occurring in the country. And I think we've been pretty good in matching up our acquisitions with pretty vibrant sources of business. And I think we'll just continue to focus along those lines.
Jonathan Jenkins: Great. Thank you for all the color, that's all for me.
Jeff Fisher: Thanks.
Operator: Thank you. Our next questions come from the line of Anthony Powell with Barclays. Please proceed with your questions.
Anthony Powell: Hi. Good morning. Just one from me, I guess any early learnings, or observations from Home2 in LA, how has it gone so far. Any surprises in terms of demand or cost structure there? Will be super-helpful.
Jeff Fisher: No, I think that honestly, hi, Anthony.
Anthony Powell: Hi.
Jeff Fisher: It's Jeff. I mean, Dennis or Jeremy might want to chime in after, but I will tell you that it's absolutely according to pro forma and both on the revenue side and the expense side, we've been very lucky in having enough bench talent particularly to staff that hotel in the most important positions. And staff it early on. Unfortunately, we would delay it a little bit in getting it open only primarily from the wonderful folks in Los Angeles and their never-ending request for other things to be added, vis -a - vis the inspection process, but that's my minor political comment for the day. Beyond that, though, operationally, it does feel good and our folks there are really encouraged by what they're hearing from our guests as well.
Anthony Powell: Got it. And maybe I guess based on that, I know you want to buy more because stabilized hotels, but as the more development an option for you in the coming years, given the experience there.
Jeff Fisher: Yeah, I think so. We talked about always specifically, some extra land that we've got in Portland, Maine, but we really have and we have another piece of land on our balance sheet. But I think that we're encouraged, particularly just as I said in the prior response to what would you sell. I mean, having brand new, or hotels that are five years older or less is a pretty attractive place to be in the upscale extended stay business and generally select service business. Hotels fare well, we know how to open them. We know how to pre -open them on the island side. So we're not go in whole hog into the development business, but certainly I think adding two or three hotels that way over the next two or three years is something we look forward to do.
Anthony Powell: All right. Thank you.
Operator: There are no further questions at this time. I would like to turn the call back over to Jeff Fisher for any closing comments.
Jeff Fisher: Well, I appreciate everybody being on the call today. Obviously, there's a lot of other news that can preoccupy us, but we look forward to working well beyond those current events and frankly, continuing to do the good things we talked about on the call today. Hopefully, the rest of the environment particularly on the virus front, will be favorable for all of us. And we look forward to talking to you next time. Thanks.
Operator: This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.